Operator: Thank you for standing by. This is the conference operator. Welcome to the Cameco Corporation Second Quarter 2018 Results Conference Call. As a reminder, all participants are in listen-only mode, and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Rachelle Girard, Vice President, Investor Relations. Please go ahead, Ms. Girard.
Rachelle Girard: Thank you, Operator, and good morning everyone. Thanks for joining us. Welcome to Cameco's conference call to discuss our second quarter financial results, and our decision to suspend production at McArthur River and Key Lake for an indeterminate duration. With us today on the call are Tim Gitzel, President and CEO; Grant Isaac, Senior Vice President and CFO; Brian Reilly, Senior Vice President and Chief Operating Officer; Alice Wong, Senior Vice President and Chief Corporate Officer; and Sean Quinn, Senior Vice President, Chief Legal Officer and Corporate Secretary. Tim will begin with comments on our decision and the results. After, we will open it up for your questions. If you joined the conference call through our Web site event page, you will notice there will be slides displayed during the remarks portion of this call. These slides are also available for download in a PDF file called Conference Call Slides through the conference call link at cameco.com. Today's conference call is open to all members of the investment community, including the media. During the Q&A session, please limit yourself to two questions and then return to the queue. Please note that this conference call will include forward-looking information, which is based on a number of assumptions and actual results could differ materially. Please refer to our annual information form and MD&A for more information about the factors that could cause these different results and the assumptions we have made. With that, I will turn it over to Tim.
Tim Gitzel: Well, thank you Rachelle, and welcome to everyone on the call today. We appreciate you taking the time to join us to discuss Cameco's second quarter results, and our decision to extend the production suspension at our McArthur River/Key Lake operation for an indeterminate duration, or in other words, indefinitely. I am going to start with the latter. You've heard me say earlier this year that we are cautiously more optimistic than we were in 2017, and I would say that sentiment prevails. And while we are seeing some positive developments, the reason for our continued caution is that we have not yet seen the type of response we need to see from the uranium market. Prices remain unsustainably low, and with about 16 million pounds placed under long-term contracts industry-wide so far this year, there have clearly been very few acceptable long-term contracting opportunities. As a result, we have decided to extend the suspension of production at McArthur River and Key Lake indefinitely. That is a decision our partner Orano full supports. In addition, to further reduce costs we will downsize our corporate office workforce in accordance with the decreased level of activity at our operations. These were difficult decisions to make because of the impact they will have on our employees, their families and other stakeholders, but we must take these actions to ensure the long-term sustainability of the company. We thank our workforce for their hard work and dedication. We believe our assets are among the best in the world, and we will continue to show the type of leadership needed to position the company to add significant value over the long-term. And we will continually evaluate our strategy in the context of our market environment. In response to changes in our environment, we adjust our actions using a marketing framework that we believe supports our strategy to build long-term shareholder value. The framework is not new and you can expect we will continue to use it to manage our business not just in a weak market, but in general. Let me outline it for you. First and foremost, we will not produce from our Tier 1 assets to sell into an oversupplied spot market. Second, we do not intend to build up an inventory of excess uranium. Third, in addition to our current committed sales, Cameco will capture demand in the market where we think we can obtain value. Fourth, once we capture demand, we will decide how best to source material to satisfy that demand. And finally, over a rolling 12-month period, our leverage to higher market prices in our sales portfolio is expected to exceed any exposure we have in our sources of supply. So, what does all this mean? It means there is not a particular spot price we can point to that will incentivize us to turn our operations back on. McArthur River/Key Lake is either producing at 18 million pounds per year or it is not producing. Given the high fixed cost component, it does not make economic sense to run at lower volumes. Therefore, we do not plan to restart until we see an acceptable long-term business in our market; business that allows us to commit those pounds under long-term contracts, contracts that provide an acceptable rate of return on these assets for our owners and reward them for their continued patience and support of our strategy to build long-term value. In the meantime, we will leave these pounds in the ground and preserve the long-term value of one of the world's best assets for a time when it's needed and its value is recognized. We know when the signal to restart comes at the Tier 1 asset, the McArthur River/Key Lake project will be among the first and most economic to bring back online. Second, we will not build inventory of uranium in excess of our actual needs. Excess inventory only serves to contribute to the sense that uranium is abundant and creates an overhang in the market and it ties up working capital on our balance sheet. Based on a rolling 12-month planning cycle, we have determined that it is appropriate to target about 4.5 months of forward sales in inventory. This allows us to have the material where we needed, when we needed, and in the right form. Third, it means that the outlook we provide for committed sales will not necessarily reflect all of our sales activity in any given period. We will take advantage of the opportunities the market provides us where it makes sense from an economic, logistical, and strategic point of view. Those opportunities may come in the form of spot, mid-term or long-term demand. The demand may come from utilities, financial players, producers, or from traders or intermediaries. We prefer long-term business with market-related prices and with downside protection, and we prefer to see uranium being consumed in reactors, but we will not preclude other demand opportunities. Of course, we will continue to target a portfolio of long-term contracts with the ratio of 40% fixed prices and 60% market-related prices, and we will include mechanisms to protect us when prices decline and allow us to benefit when prices rise. Fourth, it means depending on our production volumes, inventory levels and any purchase commitments we already have, we will be actively buying material to meet our demand obligations. I will get into more specifics about how this may impact us in 2018 and 2019 a bit later. Remember however that we don't operate just in time; we have to plan on a 12-month rolling basis. Therefore, our first thing will have to precede the timing of our demand obligation, so in some quarters it may appear we are building inventory, but it will more closely reflect our target inventory level when all demand for the 12-month period has been met. And finally, it means that in general, if we choose to purchase material to meet demand, we expect the price of that material will be more than offset by the leverage to market prices in our sales portfolio over a rolling 12-month period. Should the market move away from us and we are unable to find the pounds we need in the market, we do have ways to mitigate that risk. Keep in mind, our four-and-a-half month inventory target is just that, a target. We do have flexibility and can go lower on a temporary basis. Also remember, uranium has to be stored at a licensed facility. As a result, we sit on a lot of material for others that are licensed facilities, and product loans are not uncommon in our industry. And finally, if the market truly is transitioning and we are able to sign acceptable long-term contracts, we always have the option to restart McArthur River/Key Lake. The restart would probably take us a few months depending on how long we are down for it. In addition, to this framework, our contracting decisions always factor in who the customer is, our desire for regional diversification, the product form, and logistical factors. So if you see us taking an action that on a standalone basis doesn't seem to make sense, I will encourage you to ask yourself, "Does it make sense when viewed in the context of this broader framework," because that's the lens that we are using. As I've said before, we operate in a business where progress is not measured in weeks or quarters, but in years, and that is how we manage our business for the long-term. So now let's turn to how this framework may impact, what you see from us in 2018 and in 2019. Remember, we look at this on a calendar year basis, and don't provide a quarterly outlook. So starting with the full calendar year for 2018, in our uranium segment we have commitments to deliver between 34 million and 35 million pounds of uranium. In addition, we have agreed to provide our partners at Orano up to 5.4 million pounds of uranium this year. Since this material gets repaid, we have a bit more flexibility in deciding how and when to source material to fulfill that commitment. We expect to produce about 9 million pounds of uranium. We have purchase commitments of between 8 million and 9 million pounds, which includes our share of Inkai production. But our purchase commitments do not include our interest segment purchases of between 3 million and 4 million pounds. And at the start of the year, we had about 27 million pounds in inventory. If you work through the map on this, and including the Orano loan, you could see we expect to purchase about 2 million to 4 million pounds this year to meet our delivery commitments and maintain our target inventory. This allows us to achieve our inventory reduction plan assuming we will maintain four-and-a-half months of forward sales in inventory. In the absence of an extended shutdown that would have been the extent of our required purchases this year, but there are two other factors to consider. The most obvious factor is of course that we have extended the suspension; the other factor being our willingness to meet demand in the market which I talked about earlier. Let me speak to the extended shutdown first. Looking to 2019, we have sales commitments of between 25 and [technical difficulty] commitments we have three levers we can pull: production, inventory, and purchases. We expect to produce 9 million pounds of Cigar Lake and we have purchase commitments of between 5 million and 6 million pounds, including Inkai purchases. We won't really have much in the way of excess inventory, so that means for 2019 we will need to purchase an additional 9 million to 11 million pounds to meet our commitments. Remember, I said we plan on a rolling 12-month basis, which means that to meet our first quarter deliveries in 2019 we may have to begin purchasing activity in 2018. So while I said earlier that we expect to purchase an additional two to four million pounds this year, if we decide to make some of our 2019 purchases before the end of this year our 2018 purchases potentially go up further. The other factor you need to keep in mind is our willingness to capture demand in the market where we see value. To the extent that there are opportunities to capture demand that fits the criteria I talked about earlier we may have even greater purchasing needs. As a result, you can expect us to be active buyers in the spot market not just this year, but next year as well. And this is not just a temporary measure. This will be an ongoing business activity where it makes sense for us. However, the extent of our purchasing in 2019 will be dependant on how many years the shutdown extends and our purchase and sales commitments in subsequent years. And of course the trigger for a restart is a return to acceptable long-term contracting in the market. Our purchasing activity may mean that some of our sales are at a lower margin. But as I said earlier, with greater leverage the market prices in our sales portfolio, we expect it will add significant value. Our goal is to responsibly manage our supply. We believe this will provide us with the flexibility and the opportunities we need to meet our delivery commitments. It will help preserve the value of our tier-one assets and protect and extend the value of our contract portfolio on terms that recognize the value of our assets and are consistent with our marketing framework. And rest assured, none of this activity will change or jeopardize our financial navigation points. We continue to be focused on maximizing cash flow while maintaining our investment grade rating. We want to self-manage the risk that the market is low for longer, our litigation risk, and we'll position ourselves to retire our 2019 debt when it comes due if it makes sense to do so. So we've spent some time talking about the micro drivers of our decision to extent the shutdown of McArthur River/Key Lake, those being our desire to draw down inventory and build cash. And we have covered the macro drivers which include the inability to sign long-term contracts on acceptable terms, and our unwillingness to produce from tier-one assets to sell those pounds into an oversupplied spot market. I now want to take the next few minutes to talk about current state of our industry. Against a backdrop of growing demand over the long-term, last quarter I talked about a number of moving pieces in our market that have shifted the sentiment from one of complacency and discretion to one of uncertainty and concern which has led to paralysis. I won't go into a lot of detail on each of these issues, but let me list some of them for you. There was our shutdown of McArthur River/Key Lake in February, the possible U.S. trade action under Section 232 of the Trade Expansion Act, the review of the Russian Suspension Agreement, and the decision by the U.S. Department of Energy to suspend its excess uranium sales for the remainder of 2018 with the possibility of an extension. Last quarter, I also highlighted why our market tends to be sentiment-driven, rather than purely driven by fundamentals. I talked about the origin disconnect in our industry, the gap between where supply is produced and where it is needed, and the role of state-owned enterprises in our industry. And I spoke about how, from a security of supply perspective, origin matters in a world where geopolitics are creating trade distortions. And since the first quarter you can now add to this list. Two more reactors were restarted in Japan, brining total restarts to nine. China connected its first AP1000 and EPR reactors to the electricity grid and started loading fuel in the second AP1000 reactor. The decision by Paladin to put the Langer Heinrich on care and maintenance. The petition filed under Section 202 of the Federal Power Act in the U.S. that would provide assistance to struggling nuclear and coal plants as a matter of national security, the announcement by Kazatomprom that will further cut 2018 production by almost 4 million pounds. The initial public offering of Yellow Cake, a new uranium fund. The fund has purchased about eight million pounds from Kazatomprom sequestering it in an investment vehicles. Yellow Cake has the option to purchase up to $100 million worth of additional material annually from Kazatomprom over the next nine years. Also, we know there are other financial players kicking the tires. There's also the announcement by the U.S. Department of Commerce that is initiating an investigation under section 232 of the Trade Expansion Act an investigation that has no immediate impact on our existing contracts with deliveries continuing as usual and if the issue in question is the over-reliance of the U.S. on uranium supply by state owned enterprises, then this clearly does not apply to Cameco. In fact, we were the largest producer in the U.S. before we put those assets on care and maintenance. With U.S. is looking for more domestic production, our assets will be among the best and quickest to ramp up production taking about 18 to 24 months, of course that ultimately depends on how long production is down. But remember these assets are shutdown for reason, the quality of these assets compared to our other assets makes it uneconomic for us to run them at today's prices and the trade policy cannot improve the quality of the uranium in the ground. However, until the investigation is complete and the potential impact positive or negative can be determined it is another one of those moving pieces that contributes to the uncertainty I talked about earlier. And of course there is the extension of our McArthur River/Key Lake shutdown. All of this makes for interesting times in our industry an industry where there were 57 reactors under construction, the majority of which will be online over the next several years and 14 or 15 of which are expected to start up this year. That is significant growth which will translate into increased uranium demand. A new production will be needed something we should really be thinking about unfortunately today's processes are still nowhere in here not even closed to the levels needed to sustain existing production level on encourage investment in future supply. Supply that we know will be needed to support reactor construction programs. The return of idle reactors to the grid and utilities on covered requirements. So today's the queue is filled with plenty of idle production capacity including Tier I capacity they concert up relatively quickly and shelved Brownfield projects. Therefore the argument for new Greenfield investment is made even more difficult pushing its prospects even further into the future. Looking back our production cut since 2015 total more than £19 million annually all due to the weak uranium market. And when you consider some of the other supply developments tied to the weak uranium market conditions including our partner McArthur River/Key Lake production, the cuts total more than £40 million annually. And looking forward I can identify several mines that are reaching the end of their reserve life or they will be facing tough economics when coverage under existing contracts expires. Before we say this before but it bears repeating even Cigar Lake that we just ramped up to full production runs out of reserves in 2027. In development terms that is too moral and with the new environmental regulation and impact assessment legislation being proposed, we do not expect the development process to get any easier or any faster. That means that given the kind of takes to permit construction ramp of a mine, we should be investing today however in this market we're not spending one dime on growth. We also know that utilities annual uncovered uranium requirements are growing. And when you stop to think about it things like planned reductions and unplanned risks to existing production, the lack of investment in future supply, the origin disconnect they talked about earlier between where uranium is produced and where it is used and the role of state owned enterprises in our industry clearly add to supply uncertainty. And this should we believe at some point shift sentiment and increase the interest in long-term contracting at prices that are supportive of a healthy and commercially motivated supply of uranium. Turning to our own performance now our results reflect the impact of a weak uranium market than the deliberate actions we've taken driven by the goal of increasing long-term shareholder value. I'm not going to go into a lot of detail because while we are required to report quarterly, our decisions are driven by the goal of increasing long-term shareholder value. We probably already read about our Q2 results in our MD&A. But I do want to spend a bit of time talking about how our decision to extend the suspension wills in fact our expected results for 2018. As I said earlier in our uranium segment, we still expect to produce about £9 million of uranium and to purchase £8 million to $9 million which includes the pounds we expect to purchase from Inc. However we now expect to deliver between £34 million and $35 million of uranium at an average realized prices of CAD 46.10 Canadian per pound. We were able to capture some additional demand opportunities in the market that met the criteria I talked about earlier. However, the pricing on these opportunities reflects the current market and therefore brought our expected average realized price down a bit for 2018. Of course this leads to an increase in our revenue expectations for the year as well. Our average unit cost of sales is expected to increase to between $40 and $42 per pound. The increase is largely driven by the severance costs of between $30 million and $35 million site employees which will be expense directly to our cost of sales in the third quarter. Obviously, we will continue to incur care and maintenance costs in McArthur River in key lake but we now expect these costs to be slightly lower between $5 million and $6 million per month once the permanent layoffs take effect. There was a monthly cost we incurred to maintain the workforce during what we originally thought would be a temporary 10 months shutdown. Now that the shutdown has been extended beyond 10 months, these costs will no longer be incurred. In addition to the severance costs for site employees about $10 million will be expense to admin costs in the third quarter for our workforce reduction that corporate office. Our expected capital expenditures are $10 million lower than we had disclose previously or about $80 million mainly the result of optimizing the development plan at Cigar Lake. Finally, as we set out to do when we announced the temporary suspension last November, the cash on our balance sheet is growing. At the end of June we had $837 million in cash significantly higher than the $320 million at the end of 2017. And we now expect our cash from operations to be 20% to 30% higher than the $596 million generated in 2017 which means our cash balance at the end of this year will position us well to self manage risk. The assessment is based on our current outlook and assumes uranium prices remain stable at current rates and an exchange rate of $1.25 Canadian for $1 U.S. In addition to our purchase commitments of between £8 million and £9 million, the estimate also includes our expected purchases of £2 million to £4 million. Before I leave our results I will just point out that we are now more than 10 months post trial and continue to wait for a decision from the judge in our CRA case and of course the temp core arbitration is now about six months away. Today Cameco remains a solid company financially generating strong cash flows. Experience has taught us that success in our business requires patience and discipline. Our decisions are deliberate driven by the goal of increasing long-term shareholder value. We can't control the timing of a market recovery but we are taking action on things we can control. We are focused on our Tier 1 strategy and preserving the value of the assets in our portfolio that are the lowest cost and provide us with the most value. We are restructuring our organization to be as efficient as possible and to reflect the scope of our current operations. We're responsibly managing our production inventory and purchases protecting and extending the value of our contract portfolio and maximizing cash flow while maintaining our investment grade rating. Ultimately our goal is to remain competitive and position the company to maintain exposure to rewards that will come from having uncommitted low cost supply to deliver into a strengthening market. So thanks again for joining us today, and with that, we would be pleased to take your questions.
Operator: [Operator Instructions] Our first question comes from Andrew Wong from RBC Capital Markets. Please go ahead.
Andrew Wong: Hi, good morning. So, Tim, I mean it sounds like Cameco will be looking to be a lot more active in the spot market, both on the buy and the sell side. So that's kind of a departure from your prior strategy. Maybe a little bit more on the term and fixed price contracts and that kind of stuff. So can you talk about why the shift just a little bit more? And is it a way for Cameco to help the market get better price discovery given the disconnects? And just lastly, how does this kind of activity differ from the trading activity that the prior NUKEM business conducted? Thanks.
Tim Gitzel: Well, thanks for the question Andrew. And yes, we're going to be a bit more active on the buy side because we're going to need some pounds to put into our existing portfolio. Spot prices where they are today we're going to leave our tier-one pounds, as we said in our comments and press release, in the ground for now. And if we can buy pounds on the market to put into our portfolio we think we're better doing that. We're going to liquidate an inventory we've got at the same time. So I don't think it's a big change. We're not willing to enter long-term contracts at today's prices. We think that's giving shareholder value away, and we're not prepared to do that. So pretty dramatic steps we're having to take here. Obviously a big effect on our workforce, so it's a difficult decision, but it's a difficult market, and we think somebody has to show leadership in this regard and that's what we're doing.
Andrew Wong: Okay. Maybe just ask maybe a different question now. Like, if you look at the sensitivity table currently it makes a lot of sense. You buy on the spot, you deliver into contracts. You're in a healthy margin there. But then if you look at the table at $40 you would receive roughly an equivalent contract price. So how does that math factor into the decision whether to buy on spot versus restarting at McArthur?
Tim Gitzel: I'm going to ask Grant Isaac to just to give us a little bit of an update just on the market and some of the strategy behind that.
Grant Isaac: Yes, Andrew, it's a great question, thank you. As Tim said in his opening comments, we look at this and any actions that we take with respect to purchasing and sales on a 12-month rolling basis. So we look at the effect that buying might have on our overall contract sales portfolio. We look at the market sensitivity of our overall committed sales portfolio. And I think the question you're asking is; if we're starting to buy expensive material doesn't that have a negative impact. And I would say there's probably a different way to look at that. If we find ourselves purchasing and the material that we have to buy is more and more expensive, well then the material we're selling under our committed sales portfolio is worth more to us. And not only that, if we're buying expensive material that we're probably encountering the type of turn business that's acceptable to us, the type of turn business that we say is required to bring a tier-one asset back. So it's on that overall balance that we look at. And so one of the points Tim made was just to keep the whole framework in mind rather than looking at any one single transaction. But being active, understanding where the material is, and obviously we're coming to the market to get some of it for our committed sales portfolio without McArthur production in there; it does have benefits for us.
Andrew Wong: Okay, thanks. I'll go back in the queue.
Tim Gitzel: Thank you.
Operator: Our next question comes from Ralph Profiti from Eight Capital.
Ralph Profiti: Good morning. Thanks for taking my question. Two of them if I may, Tim, Grant, I'm trying to get a better sense of the economics or the cash impact in 2019 of the decision at McArthur River and whether or not you can provide an estimate of the impact to cash flows between a restart scenario and a shutdown market purchase scenario.
Tim Gitzel: Go ahead, Grant.
Grant Isaac: Ralph, we don't have 2019 disclosure out there yet, and we're not prepared to do that. That will be normal course in our annual that will come out in February. So no, we're not in a position to do that right now.
Ralph Profiti: Okay, thanks. And then Tim, do you have a view on the uranium supply demand balance in 2019 or 2020 or even current. Just some context of what this does, McArthur River, and of course your comments on the slide deck with respect to the state of the industry. Where do you think we are now?
Tim Gitzel: Well, Ralph -- yes. You know we've seen if you look at some of the U.S. Trade Tech reports I think even this year, 2018, before we made our announcement, we were in a slight deficit. I guess would probably continue going forward now that we've made the decision to keep McArthur down for an indeterminate amount of time. So on the demand side we're quite enthusiastic about what we're seeing, some of the reactors coming back on in Japan. I think there's nine now, and people say, well it's not 50. Well it's not zero either. And so that's moving along some -- a good support from the Japanese government. The Chinese, as we said, bringing the AP1000s finally on EPR in China. So we heard they've been waiting to bring those on to start some new ones. So we see demand growth. Not rocket ship growth but steady slow growth. And that's a good news story because if it was going the other way we'd be in a different movie. So demand, steady I would say, growing slightly. And now supply, yes, you're seeing some discipline in the market. We're making our moves. I know Kazatomprom has made some announcements, you're seeing some other producers struggle. And so where's that inflection point? People are saying it's out in the 2020s. We think we might've moved it back a lot closer to today with some of the announcements that we made.
Ralph Profiti: Okay, great, very helpful. Thanks very much.
Operator: Our next question comes from Greg Barnes from TD Securities.
Greg Barnes: Yes, thank you. Grant, what is your strategy to buy the amount of material that you now need to buy; it's upwards of 15 million pounds? Spot market typically does 50 million a year but we know most of that is just churn between traders, but isn't that liquid. Where do you think you're going to find this much material?
Grant Isaac: Yes, that's a great question, Greg. I mean we will be very active having a look at what's available on the spot market. If markets are truly efficient we would suggest that there's a lot of material available at today's prices, but we're going to test that. We'll look at what's available on the spot. We have a sense that there are utilities out there that have excess uranium positions. Maybe some of that becomes available to us, maybe not. Maybe a utility that thinks that a market might be tightening starts to view that excess position as an asset, not a liability and therefore might hang on to it. Greg, we don't know yet. That is the test that is underway. Obviously, if there is lots of material that comes off the shelf we're going to buy it cheaply. And we're going to help clean up the market and bring that inflection point forward. If on the other hand the market is not as deep as current market prices would suggest. And there is a real tightening that results from putting our demand into the market then yes, purchases will become more expensive. But as I said earlier, that will lever up our existing portfolio. And it's probably the conditions that we need to see to start brining attractive term demand to the market.
Greg Barnes: Okay. So second question, and Tim, you noted that the CRA decision could come any day. But Grant, could you clarify when the decision comes down if it goes against you is there a big cash payment required? If it goes for you do you get that prepayment back immediately? How is this going to play out when that decision comes down?
Grant Isaac: Yes, Greg, thank you for that question. I think there is a bit of confusion on what that exactly looks like. And we'll take some responsibility for it. Because remember, we have a lot of voluntary disclosure out there on this case. We have put this voluntary disclosure out there that suggests that what the worst case scenario, for example, would look like for '03 all the way to 2017. And in that worst case scenario we're talking about a potential $2 billion cash liability. But it's important to emphasize, there is no outcome where all of that would be due at once, even in an adverse decision. And the reason is that's voluntary disclosure that pertains to years that are well beyond what's before the court. And actually well beyond what we've actually been reassessed on. What's before the court is '03, '05, and'06 only. What we've actually been reassessed on is'03 to 2012, so there's a number of years in there where they aren't even before the court. So, a court decision pertaining to '03, '05, and '06 from a financial management point of view is very manageable. If we had an adverse outcome, an outcome that we're certainly not expecting we're talking about an immaterial cash impact on us something less than $10 million. To be added to the 50% that we've already parked with that and then of course that decision would have to be appealed if we didn't like it, appealed by the CRA. if they didn't like it so there would be an appeal process that would apply and those appeal process would have to be run through before we were in a position to say what 03, 05 and 06 meant for the years that we've been reassessed 07 to 2012. Let alone 2013 to 2017, so even though we have a lot of voluntary disclosure out there is just important to emphasize there is no moment where that worst can case scenario is do instead we see a multi-year process to understand the 03, 05, 06 decision to go through the appeals process if that happens to then determine how that decision applies to the years we've been reassessed 07 to 12 and then how that applies to the years that we haven't even been reassessed for, so very manageable it's why we say that that the steps we've taken to build cash maintain our investment grade rating to put us in a position to self manage risk it's with this view that there's a long process that would play out and that would be that and I think that's not a legal description of it that's just the financial management description of the liability Greg.
Greg Barnes: Okay, thank you, Grant.
Grant Isaac: Thanks Greg.
Operator: Our next question comes from Alex Pearce from BMO.
Alex Pearce: Hi Tim, see you touched on it briefly earlier in the call, I was hoping if I could press you for a little more detail; if McArthur River is off let's say want two more years, what you think the restart time would be and also. Would you expect to pay an additional restock costs on top of your existing care and maintenance cost you've identified?
Tim Gitzel: Hi Alex thanks for the question. We don't know how long it's going to be off, so it's hard to speculate. I would just say simply in the longer it's off probably the longer it will take us to restart. We unfortunately are severing A good chunk of our workforce. Soon and so we would have to go back in and reestablish the workforce now that said, we have a real competitive advantage here and scare to about 50% of our workforce at the sites are people from Northern to Schezwan, will worked with us many different sites and I believe will probably be available when we restart will be keeping the core of about 200 people, 100 at each site that are experts in running the place and will help with the restart. And of course we can with their good friends and partners at around we're running Cigar Lake still we're there running the McLean lake mill and we could some expertise from there as well, so we set a couple months now after 10 months so it'll probably stretch out as we stay down longer it'll take us a bit longer to restart, So Grant do you have any addition.
Grant Isaac: Alex, just one thing to add to that as well it's not that the restart time is irrelevant but remember we said the trigger for restart is the return of acceptable term contracts that we've then produced from McArthur River to satisfy and remember a term contract by definition starts two years out and beyond, so we would have plenty of time to react to the new business in the market and then plan our production decisions accordingly, so you just need to remember that there's the dimension of a runway to ramp up to satisfying that term demand because it is in the spot market trigger.
Alex Pearce: Okay, great. Thank you.
Tim Gitzel: Thanks, Alex.
Operator: Our next question comes from Oscar Cabrera from CIBC.
Oscar Cabrera: Thank you. Good morning everyone. With respect to your 2019 outlook you stated that delivery service expected to between £25 million and £27 million. If McArthur were to stay shut for a little bit longer based on your contract on your contract that sales volume would you maintain those level of deliveries £25 million to £27 million or would these come down in the outer years six MacArthur say shut down for state two or three years?
Tim Gitzel: Oscar, those are commitments we've made to our customers, we will honor those commitments. We said we're going to produce both £9 million from Cigar Lake. We have purchased commitments of £5 million to £6 million more pounds, so we're going to go into the market and source somewhere in the £9 million to £11 million range to a fill those contracts that's who will do and I can tell you will be looking for other opportunities if they come around that they're with terms that are acceptable to us, we'll be looking to add to that. So yes, we will fill those commitments.
Oscar Cabrera: Okay. And then secondly, I know that forecasting U.S. policy currently or foreign policy at the moment is like trying to forecast decisive snowflakes but how are you guys thinking about section 232 and the potential impact on the company?
Tim Gitzel: Oscar, too early to say, as we you saw us put out a note about a week ago. I think when the news came down that it sufficiently 232 pieces officially been launched, we said that we just don't know what the effect will be positive or negative for us depends where it goes, when we look at the remedies to proposed by the proponents that 25% of U.S. demand come from U.S. production we fine that have been aggressive given that there's about a £1 million or so being produced now and you have to ramp up to about 12 to meet that requirement now we have U.S. assets don't forget that we have on standby. I think I'm looking at Brian Reilly here but we could probably ramp those up over 18 months, 24 months period to produce I'm not sure in the £4 million range, so I mean there's that site for us as well but if there's some kind of terror foot on as we've seen with the steel and aluminum business that's probably not good so probably not for you as utilities especially. So it's certainly has added to the confusion in the market I would say, we have to see a few more cards as to where the Department of Commerce is going with what their recommendations to the President of the United States are going to be and so we're going to be active on it. We'll be in there playing our cards down in Washington making sure they know how it effects could affect a lot of the supply the utilities get from Canada we're not a state owned enterprise were a publicly traded company and that great relations and great sales into the U.S. for many years we hope that continues.
Oscar Cabrera: Okay, thank you Tim.
Tim Gitzel: Thanks.
Operator: Our next question comes from Orest Wowkodaw from Scotiabank.
Orest Wowkodaw: Hi, good morning, and I apologize if this questions already come up from during the call late today. In your guidance for uranium purchases in the market of £9 million to £11 million next year and two to four this year, what does that assume around the around loans and does that incorporate sort of the full exhaustion of those loans with respect to drawing the material and is that additive to these purchase commitments or not committed requirements?
Tim Gitzel: Yes, or as great question, so that 2 to 4, 9 to 11 so the £11 million to £15 million for 2018 and for 2019 is to meet our committed sales volumes relative to our ideal inventory position. We just assume that the Orano material will come back to us that we've loaned to them will come back to us because that is the condition repayment in kind but it's not out till 2023, so you're absolutely right in thinking about that as flexible additional demand for us. We could just wait for those to come back or we can decide to buy them because perhaps we have some opportunities for sales or new business comes along that makes sense to us, so that is flexibility so in one way you might want to add it and say it's £16.4 million to £20.4 million of potential Cameco demand in the next 18 months.
Orest Wowkodaw: Right because the Orano they don't have to repay your uranium in kind till 2023 so I mean given that I would think that you're going to need to purchase that amount the £5 million in the market if it's drawn to meet commit your inventory for next year?
Tim Gitzel: That's right but we'll just think about that is the flexible portion, think about the 11 to 15 in the next 18 months as those are required purchases were coming to the market for those what we do in addition with respect to Orano loan alone how we cover it in the meantime I would just retain some flexibility there.
Orest Wowkodaw: Okay. And you mentioned that the restart of MacArthur was contingent on a recovery I believe in the term price and have you give any indication of what term price you're looking for in terms of starting to think about restarting it is that 35, 40 is that something I'd be willing to disclose?
Tim Gitzel: I could tell you it's higher than it is today that would, the broad, we're looking for terms higher than today obviously but a long-term commitment. We have some customers that have done that use power as an example they're spending a lot of money, billions I think $13 billion on the component replacement refurbishing their units for the for the future and so they came looking for uranium 2020 to 2030 when they were prepared to ride the prices that were acceptable for us, that were acceptable to us of course we then have to commit to a ceiling but long-term contracts like that we're interested in and we've said before would be nice on the number but it's not where it is today, is just to go today for us walk in any long-term contracts.
Orest Wowkodaw: Okay. And then, just finally you're making significant layoffs obviously at the mines but the head office layoffs to struck me as quite large and I'm just curious as painful as that is what kind of annual sort of savings you might see there from a SG&A perspective?
Tim Gitzel: Yes, I'm not sure if we've disclosed that amount it is significant I can tell you that and I and I just say again and I hope you never have to do that in your business. It is it is tough to do we have great employees but we had to right size the corporation to fit with the assets we're running now and we took Robert down back in 2016 and we had a reduction then and now McArthur being down for an indeterminate amount of time we had to raise as is this house in our corporate operations as well, so it's a significant chunk of our operations we'll still full fill all of the requirements of running a big corporation like we do but that's what we have to do.
Orest Wowkodaw: Okay, what percent of your head office workforce spend if impact?
Tim Gitzel: There was probably both 20% to 25% got in our corporate staffing.
Orest Wowkodaw: Okay, thank you very much.
Tim Gitzel: Yes, thank you.
Operator: Our next question comes from Russell Fryer from Baobab Asset Management.
Russell Fryer: Good morning and thank you for the call. I want to switch to Smith Ranch-Highland and Crow Butte, what term price uranium you need to restructure its operations, and one of the reclamation in bimetal cost when they finally shutdown?
Tim Gitzel: Well, that our U.S assets all of the sudden became more interesting again and certainly after last week in this 232 piece and if the U.S. is going to follow the recommendation of the proponent and require 25% of the U.S. consumption to come from U.S. assets I can tell you those assets aren't going to come on at less than $50 or $60 a pound and probably going up from there, so that's why we're interested to see how this is going to turn out. We have good out there we were produce we were the largest producer in the U.S. for many years decades until year to go and we had 2016 when we started to take those down so significantly higher prices to bring those assets. So those are valuable assets for us. Our decommissioning I don't have a number in my fingertips right now it's in our disclosure, we can get that for you but it's in our MD&A.
Russell Fryer: Okay. And then just so I'm clear, it's 18 to 24 months to ramp -- to get those operations ramped up to steady state or just to get them started?
Tim Gitzel: Brian, you want to touch that?
Brian Reilly: Yes, look, our assets are in care and maintenance in restoration mode at the moment. So ideally, within a year we could bring some of those production wells back into production. But to get up to a steady state, it's at least 18 to 24 months. We would have to bring back a significant part of the workforce. We would have to spend significant capital to develop the oil field. So, 18 to 24 months, I think that's probably a medium time range, but to get to a steady state, it would take more time than that in fact.
Russell Fryer: Okay, my last question on this. Other permits, is there any permitting issues. Would you have to reapply for any type of well field water discharge or any other?
Brian Reilly: Yeah. Russell, I think our permitting is still in place. So we’d have to just warm them up again and go back in with the regulators there and let them know that we want to bring those assets back into production, but I can tell you, I think we’d get a very, very warm reception in Wyoming and Nebraska if we decide to do that.
Operator: Our next question comes from John Tumazos from John Tumazos Very Independent Research.
John Tumazos: In China, some of the factories that were idled last winter for pollution control never opened – reopened, their aluminum output is down 3.3% in the first half of the year. Their alumina output is down 6.4% and there's lots of Chinese companies announcing container board, nickel smelter, stainless steel, carbon steel, other factories in Vietnam, Indonesia, other places to get away from the issues and constraints in China? How can you market uranium better in China? Clearly, they need to produce more clean energy for their industrial base, their industrial base is contracting and leaving in some cases.
Tim Gitzel: John, we'll take you on our next marketing trip over there. That's exactly the arguments we make. In fact, we don't have to make them -- China today, 37 reactors operating, another 20 under construction and a lot more to come. We just had a team come back last week, some grants marketing team, we’re over there talking to them. Clearly, just because -- exactly because of the issues you talk about first growing demand for electricity, for clean electricity, for CO2 free electricity, I mean, if you've been to Shanghai or Beijing lately, if you get a good day, you can see across the street, if you had a bad day, you can’t and that's a huge concern in China. And so their growth -- we hear reports, well, it's slowing down. Well, we don't see it on the nuclear side. I can tell you, they're very aggressive. We saw a bit of a slowdown, while they were bringing on these first of a kind reactors, the AP1000, the Westinghouse and then the EPRs and this is a big year for that too. We have both of those models now operating, loading fuel, being connected to the grid. That's a good sign, because we heard -- I think it was at the Madrid Conference a few months ago that once those were up and running, more to come on that. And so, I mean, you're making the case for nuclear power. Absolutely. Countries where the population is growing rapidly, economic development, everyone is with the smartphones and iPads and electricity need is going up. What's going to fill that gap? What kind of electricity and we think there's a big role for nuclear there. So bottom line to your question, we're spending lots of time in China, not only selling them uranium, but they're also very interested in partnering with us around the world. They want to not only just buy, they want to produce and so we're looking at the possibilities there as well.
Operator: Our next question comes from Jim Ostroff from Platts.
Jim Ostroff: And Tim, I would very much appreciate if you just walk us through sort of a supply demand situation for this year and I should say, you have stated here that the company expects to deliver 34 million to 35 million pounds this year. Now, is that [indiscernible], I just wanted to check on that.
Tim Gitzel: So, just checking on the numbers, but I think the demand is somewhere in the 170 million pound range and our supply – fresh supply from the mines is significantly below that. Of course, what makes up that difference then are the secondary supplies which have always been a bit of a black box. And so – but we think obviously and I said earlier, if you look at UX’s numbers and TradeTech and others, I think they have a bit of a deficit, even this year and now with our decision to keep McArthur in suspension, we may see the same going forward. So as I say, we've been waiting for that inflection point and perhaps.
Jim Ostroff: I'm sorry, I was just asking you to clarify with respect to chemicals guidance here for instance, uranium delivery volumes this year and as I said, delivery volumes have been 34 million to 35 million pounds, but now does that include delivery to be made to Orano with that loan, is it that additional that an additional 5 million pounds.
Tim Gitzel: I'm sorry if I misunderstood your question, Jim. The 34 to 35 are our commitments to customers. The Orano piece is on top of.
Jim Ostroff: Okay. And I’m sorry, is it about 5 million pounds this year? Was that what we say that?
Tim Gitzel: Yeah. It’s 5.4.
Jim Ostroff: 5.4 million pounds this year. Okay. So I should say here that even on the bottom side, it's like 39.4 point pounds to be delivered this year?
Tim Gitzel: Yeah. That would be about it. Yeah.
Jim Ostroff: Okay. And if you could just please walk through here, what you just said, the commitments already in place to buy and production and that is, your expected supplies this year and your commitment to purchase already made.
Tim Gitzel: So yeah, so we have sales of 34 million to 35 million plus the Orano. So we’ll use the combination of production that we have of purchase commitments that we already have in place and then we’ll need to go out to buy more, we said 2 million to 4 million pounds extra this year to meet those commitments.
Jim Ostroff: To meet commitments. And if I could just so, let’s see. You're expecting Cameco production to be, is it 9.1 million this year.
Tim Gitzel: Yes, it is.
Jim Ostroff: Okay. And then finally you have purchase commitments this year for 8 million to 9 million?
Tim Gitzel: Yes. We do. If you peek back at slide 5, Jim that we've put up, while I was speaking this morning, I think you'll find all of those numbers laid out and it gives you the math on it.
Jim Ostroff: Okay. Well, that is fine. And one other thing I say, let me ask, --
Operator: Our next question comes from Orest Wowkodaw with Scotiabank.
Orest Wowkodaw: Hi. Thanks for taking my follow up. Just in terms of the market itself and available material. Is there anything to read into the new participation fund, I guess, set up in London, the Yellowcake that was able to acquire 8 million or 9 million pounds of material from the Kazakhs? It seems, at a discount to spot and is that an indication that there is still a fair amount of inventory sitting around. And I'm just curious how to make sense of that transaction versus your comments about being unsure if there's available material in there to meet your purchase requirements, now that you're keeping McArthur down.
Tim Gitzel: Orest, I think it's more an indication that there's some big money out there that’s thinking uranium price at P5 has a lot better chance of going up in value than not and so locking up those 8 million pounds certainly helps clean up a bit of material that could have come on to the spot market and they have commitments to purchase more going forward. And so we saw that as a very positive sign, I've been around this gig for probably too long, but a long time, that's what we saw back in the 2005, 2006, 2007 period too was you get some interest back in the commodity that's been beaten down for 7.5 years, now beaten down and you see, like you say, uranium price that $20 probably has a better chance of going the other direction than going down further. So I think that's what they're seeing.
Orest Wowkodaw: But wouldn’t that have been a pretty economical source of supply for you guys, given your new purchase requirements for next year?
Tim Gitzel: Yeah. Orest, when I said earlier that there is perhaps a little bit of uncertainty in our marketing team about where those pounds are going to come from, this is one of the factors that is driving it, prior to the Yellowcake announcement, we would have said, well, we probably think there's a good excess inventory position, and maybe we could get our hands on some of that at a good price, but now, we know 8.1 million pounds is sequestered and there's a commitment to sell additional if it has excess inventory into that fund. So it just is material that's not available in the market. That's obviously good news for the uranium market in terms of transitioning and tightening up the oversupply situation. It does create uncertainty for us and led to my answer to say, we're not exactly sure where it's all going to come from, but we're going to go looking for it.
Orest Wowkodaw: And just finally do you have any insight in terms of how much inventory they might still have?
Tim Gitzel: Yeah. The real question is, what do they need for a run rate inventory and quite frankly, we don't know. If they have a similar inventory position to us, it would appear that they might have an additional 1 million to 2 million pounds of excess material that might be available. If they have a bigger inventory position than us, then they don't have any excess inventory. So that really is what it's hinging on. Quite frankly, they don't disclose that. We don't know if they ever get around to IPO and that would be something that we would all find out, but we don't know at the moment, but I would say 8.1 million pounds has been sequestered, so a big chunk of overhang has been removed.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Tim Gitzel for any closing remarks.
Tim Gitzel: Well, thank you, operator. And with that, I just want to say thanks to everybody that joined us on the call today. We certainly, as always, appreciate your interest and support and again I tell you that we are going to manage effectively through this tough market and will make the decisions necessary to keep the company strong and viable for the long-term. So thanks everybody and have a great day. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.